Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Computer Programs & Systems First Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded, Friday, May 2, 2014. I would now like to turn the conference over to the President and Chief Executive Officer of Computer Programs & Systems, Mr. Boyd Douglas. Please go ahead, sir.
J. Boyd Douglas: Thank you, Brian. Good morning, everyone, and thank you for joining us. During this conference call, we may make statements regarding future operating plans, expectations and performance that constitute forward-looking statements made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. We caution you that any such forward-looking statements only reflect management expectations and predictions based upon currently available information and are not guarantees of future results or performance. Actual results might differ materially from those expressed or implied by such forward-looking statements as a result of known and unknown risks, uncertainties and other factors, including those described in our public releases and reports filed with the Securities and Exchange Commission, including but not limited to, our most recent annual report on Form 10-K. We also caution investors that the forward-looking information provided in this call represents our outlook only as of this date, and we undertake no obligation to update or revise any forward-looking statements to reflect the events or developments after the date of this call. Joining me on the call this morning is David Dye, our Chief Financial Officer. David and I have a few minutes of prepared comments, and then we'll be happy to take your questions. In the first quarter, we installed our Financial and Patient Accounting System in 9 hospitals and our core clinical departmental applications at 12 facilities. Additionally, 12 hospitals implemented nursing Point of Care and 44 customers went live with physician's applications, which consist of ChartLink, CPOE and Physician Documentation. Add-on sales to existing clients were $13.5 million or 26% of total revenue for the quarter. At this time, we expect to install our Financial and Patient Accounting system in 5 facilities in the second quarter. We anticipate 11 new installations of the core clinical departmental modules, 7 nursing Point of Care implementations and 67 installations of physician's applications. In mid-April, we held our Annual National Users Conference in Destin, Florida, our new weeklong format consisting of financial seminars during the first part of the week, followed by a clinical focus in the latter part of the week was deemed a tremendous success by all in attendance. We were thrilled to host a record number of our customers at this event. As you can imagine, much of the focus of this year's conference was on Meaningful Use Stage 2. As you know, our customer's success in achieving Meaningful Use Stage 1 is unparalleled. Looking ahead to Stage 2, we're expecting even greater success for our clients in meeting the more demanding Meaningful Use Stage 2 requirements. We fully expect to separate ourselves even further from our competitors as we enter this stage of the ARRA stimulus program. This will further solidify our dominance in the small hospital marketplace, as a number of our competitors continue to struggle with obtaining certification for their software, as well as struggling with the installation and usability of their software in the small hospital market. On the development front, we are progressing well with the new ED package. We are wrapping up usability studies and are now entering the alpha and beta testing stages of the release of this new software. We're continuing to target third quarter for general release. Customer interest in the ED continues to remain very high. Now I'd like to update you on the progress from our services subsidiary, TruBridge. During the quarter, TruBridge executed 10 new accounts receivable management contracts, one of which was for full services and 9 for private pay and insurance follow-up services. 3 of the private pay contracts are with hospitals that do not utilize CPSI as their EHR vendor. We continue to be excited about the opportunities for TruBridge, and David will add some color to TruBridge in his remarks. With that, I'm going to turn the call over to David for his comments. Thank you for being on the call.
David A. Dye: Thank you, Boyd, and good morning, everyone. Our employee headcount as of March 31 was 1,384, just down 6 sequentially and 39 year-over-year. The accumulated unrecognized revenue related to first generation Meaningful Use contracts as of March 31 was $2.6 million. In April, we recognized $600,000 in first-generation contract revenue, so that as of April 30, the total unrecognized revenue is now $2 million. This amount is primarily made up of amounts outstanding from 2 hospitals, and we continue to anticipate recognizing this remaining $2 million in 2014. Four of the 9 new clients installs we performed in the first quarter were gen 2 contracts, 4 were standard and 1 was SAAS. Of the 5 scheduled second quarter 2014 installations, 3 are gen 2 contracts, 1 is SAAS and 1 is standard payment term contract. Our fourth quarter cash collections were $50 million. Our overall cash and investments balance grew $6.8 million during the quarter. And we expect our cash to continue to accumulate throughout the year as a result of Meaningful Use contract collections and expense controls. As is the case in CPSI's first quarter each year, 401(k) match expense and payroll tax expense are higher than the subsequent fiscal quarters. We expect the $1.8 million sequential decrease in these items for the second quarter. Also, at the beginning of 2014, we chose to participate in IRS, a $5,000 de minimis safe harbor capitalization election, which served to reduce addition of capital assets and increased current expense by approximately $170,000 in the quarter. We expect a similar decrease in capital expenditures and corresponding increase in current expense in future quarters as a result of this election. We are particularly pleased with the continuing growth of TruBridge, which showed a 20% increase over the prior year period. Growth continues within all facets of our TruBridge services spectrum, but most notably, clinical consulting, medical record coding, private pay collection services and cloud-based services. We do not expect a meaningful revenue timing shift as a result of the recent 1-year ICD-10 implementation deadline pushback, although it will likely result in a minor amount of short-term engagement delays, offset by a longer-term increase in the total number of ICD-10 revenue opportunities available prior to the new October 1, 2015 deadline. In order to be prepared for these future demands, we continue to make significant investments in our TruBridge personnel resources, in particular, clinical professionals and medical record coding specialists. That's all for our prepared comments. For Q&A, please note that I'm traveling and Boyd is in the office. So please forgive us if we talk over each other a bit. And with that, Frank, if you could please open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Mohan Naidu with Stephens.
Mohan A. Naidu - Stephens Inc., Research Division: First, maybe on Q2 installs, the number seems to a lighter than what we're expecting. Anything seasonally going on for Q2?
J. Boyd Douglas: I don't think the same thing seasonal. Yes, I think that's more just -- actually, the natural ebbs and flows of our market, some quarters a little bit lighter than others, but there's really no particular reason and certainly no seasonality.
Mohan A. Naidu - Stephens Inc., Research Division: And you're still expecting 28 installs for the full year?
J. Boyd Douglas: [indiscernible] Yes.
David A. Dye: Yes, that's still our target for the year.
Mohan A. Naidu - Stephens Inc., Research Division: Got it. And on the ED product that you talked about. Just curious, what are your current customers using now? Are they using some other product or is this going from paper to your ED product if they choose to go that route?
J. Boyd Douglas: We got both scenarios out there. Our larger customers that have more active ERs, typically have gone ahead and installed a standalone ED package, and more than likely, we've interfaced with that package. But then there are a lot of other customers that are holding off on the purchase because they want -- they see the value of the integration and want to -- have a fully integrated system. So we've got some of both.
Mohan A. Naidu - Stephens Inc., Research Division: Okay. One last question, David. The G&A, you talked about 401(k) matching. Is that like $1.8 million that you noted, is that all 401(k)?
David A. Dye: No, some of that is the additional first quarter payroll tax expense, when you're doing the FICA Social Security match that is heavy for everybody in the first quarter. I'd say, approximately $1.3 million of that $1.8 million is 401(k), and the rest was higher payroll tax expense that will be reduced by about $500,000 in subsequent quarters.
Mohan A. Naidu - Stephens Inc., Research Division: Okay. And last year in Q1, you had some insurance overflows that impacted your G&A. You did not see any of those this quarter, right?
David A. Dye: We did not. No, it's generally and it was this time not materially higher in the first quarter because we have some self-insurance deductibles. But it was immaterial and certainly, not anywhere close to the magnitude of the claims that we had last year in the first quarter.
Operator: Our next question comes from the line of Ryan Daniels with William Blair and Company.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Boyd, I'll start with one for you. In regards to the Q2 outlook, one number that stood out was the 67 physician applications. I guess, not a surprise ahead of Meaningful Use that the clients would demand that, but the absolute number seems pretty big. So talk about your capacity to get nearly 70 of those installed. And then I'm curious if you're going to be bring out any temporary staff or if your team can fully implement that?
J. Boyd Douglas: Our team can fully implement it. We're probably looking at a max in any quarter of 75. What we've done, and you noticed when David gave the headcount numbers, we've taken a lot of people because the other areas are lighter, the clinical and the Point of Care, because of the majority of our customers have now installed those. We're taking a lot of those people, who obviously are very familiar with the system from a clinical perspective, and training them on the physician's aspect of things. So they're actually -- so that's where the extra bodies are coming in, the extra people, and that extra experience. And it's really working out quite well because it's an advantage that they already know the clinical side. And so it's really turned out to work out well for us. In addition to installing those 3 applications, we'll also utilize those personnel to install the new MPM-EMR 5 system as well.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay, that's helpful. Then looking of the penetration rate, I mean, in Q2 alone, it's almost -- it's roughly 10% of your client base. Do you have kind of current penetration on the physician applications where those stand?
J. Boyd Douglas: David, do you have that number. I've got it somewhere around. Let me see if I can...
David A. Dye: I think, I have enough to give you some color. I think that the Physician Documentation still has a lot of runway. I think at the end of the second quarter, we'll still be slightly less than 50% penetrated there. I think the remainder of the -- if you want to call them legacy applications, including CPOE and ChartLink and everything else, they're all in the 90% range by the end of the second quarter.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay, perfect. And then, David, while you're on, can you go through the IRS Safe Harbor election just one more time and the near and longer term income statement and balance sheet effect? I didn't follow that.
David A. Dye: Yes, it's -- it was available beginning in September of last year. And it allows any asset that's less than $5,000 to be expensed in the current period as opposed to capitalized and then further depreciated. And that number prior to that was $500. So in many cases, specifically like with some laptop computers and other things that you need to run an office, those items are clearly greater than $500 and less than $5,000. So those are the type of things that we will be able to expense in a current period as opposed to capitalize. And it's simply a question for us, as you probably know, we're a cash driven business, and that's one of our primary goals. And it's a better decision from a long-term cash generation perspective. So that's why we did it. And then in terms of -- the answer to your question. It will be, it can vary in the quarter from -- we think it'll be anywhere between a $75,000 to $200,000 difference in any one quarter, probably averaging, guessing low 100s.
Ryan Daniels - William Blair & Company L.L.C., Research Division: Okay, that's perfect. That makes a lot of sense. And then, I guess, one last question, you get asked this all the time on your calls, but I'm curious. We continue to hear more noise with some of the larger vendors, 2 in particular kind of moving down market. And I'm curious if you look at the pipeline, talk to your sales team, if you're seeing any of those guys more aggressive in the small hospital space?
J. Boyd Douglas: I can say that we're not. It's certainly something that we continue to be -- keep our eye on. We -- I don't remember if it was 2 or 3 calls ago that we specifically mentioned that we'd been seeing a lot more of Cerner in the last 3 to 6 months. And I would say since that point, that amount of volume has decreased. I mean, clearly, they're -- perhaps they have enough to do up in their segment of the market because I know they're doing very well. But that's something we continue to be interested in. But in our pipeline, we are still competing with the traditional vendors that we have been over the last, for the most part, a couple of decades.
Operator: Our next question comes from line of Jamie Stockton with Wells Fargo.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: I guess, maybe the first one. Boyd, I think that you had some comments about Stage 2 in your prepared remarks and maybe I didn't catch it if you said it. But have you guys had anyone who's tested yet for Stage 2?
J. Boyd Douglas: We have had -- yes, we have not had anybody to my knowledge that have received the funds yet, but we have people that have it tested.
David A. Dye: I know in the quarter that ended, for the 90-day period that ended March 31, I know for that period, we have 4 hospitals successfully at test in Stage 2.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: That's great. Boyd or David, whoever wants to take it. Are you aware of whether any of your primary competitors have had anyone in test at this point?
J. Boyd Douglas: I am not.
David A. Dye: Yes, I'm sorry, Boyd, I know MEDITECH has. Other than that, I'm not aware of any of our primary competitors that has.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. And then maybe on TruBridge, you guys continue to sign up a healthy number of hospitals for private pay. I was curious, high deductible health plans are becoming a bigger and bigger deal for hospitals, and I imagine that you guys are working on a lot of those receivables for hospitals. How big of a tailwind has that been or could that be for the TruBridge business, whether it's your existing client base or a motivator for incremental hospitals to say, "Hey, we need to have somebody help us work on this. "
David A. Dye: It's a great question, Jamie. And I'm not sure if I have a quantifiable answer other than -- I would say that the concept of real hospitals outsourcing their private pay collections to us or anybody else has been a trend that's been slowly rising prior to any insurance reimbursement model changes as a result of Obamacare or anything else that are beginning to occur at this point in time. So I think that the trends that you mentioned would only stand to increase the interest to do so. I can't say we've seen a quantifiable change yet. But we definitely continue to see a trend. And it's hard to know if it's because we continue to do a good job performing for our existing clients and then marketing those services to both existing and non-CPSI HR clients, or if it's because it's just generally a trend in the marketplace and we're one of the only viable players in the small hospital space. But it's definitely, I mean, you're right on target in that from a tailwind perspective, the private pay collections area, the TruBridge businesses, is certainly an area that we think could potentially be the highest growing area within that segment.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Okay. My last question, David. Just on the TruBridge business, the gross margin for Business Management Services came down a little more in the quarter, some of that may just be seasonality of when some expenses flow-through in the calendar year. But is any of it just continuing to build infrastructure for that business? And then, hey, at some point in the future will leverage this expense base?
David A. Dye: That is definitely the case. I mean, we are -- it would be an exaggeration to say we've throw caution to the wind. But something close to that in terms of whatever we need to be prepared for the demand that we are seeing now and that we expect to continue to see going forward. And as I mentioned in the comments, namely personnel. We continue to hire RNs and physicians assistants, nurse practitioner, in some case, pharmacists, those people are -- it's a heavy investment, but they pay off in dividends from their clinical experience in their ability to do consulting and project engagements for us out in the field. And in addition to that, the medical records coding portion of the business is something that's taken off a little bit more than what we might have thought. And so we continue to hire medical records coding professionals, which as you might imagine, have always been. But at this point, with ICD-10 looming, our -- it's a very competitive market out there for those personnel. So we certainly expect to see those margins improve at some point in the future. We're just not terribly concerned with when that is, as long as we continue to grow.
Jamie Stockton - Wells Fargo Securities, LLC, Research Division: Just for modeling purposes. Do you think that, that will be this year? Or should we be thinking about that as a 2015 and beyond event?
David A. Dye: No, it probably won't surprise you to hear me say that I don't know and don't particularly care. But if -- a pure guess I would think they would improve on some level that is reasonably significant by the end of the year.
Operator: Our next question comes from the line of David Larson with Leerink Partners.
Chris Abbott - Leerink Swann LLC, Research Division: It's Chris Abbott in Dave. So your system sales margin has been pretty strong in the past 2 quarters. Obviously, down a little sequentially here. But if we look relative to 1Q '13, up almost 10 points. What sort of driving that increase, especially concerning the 1Q '13 quarter had about, I think it was about almost $2 billion of that sort of high margin Meaningful Use gen 1 revenue, and there's only about 100K this quarter. Is there sort of a different mix that we're looking at now? Or is it mid-40% range sort of a kind of a sustainable rate looking forward?
J. Boyd Douglas: I would say, it's a function of 3 things, one being is that we've got -- we continue to have a greater mix of add-on software, particularly on Meaningful Use, which is typically a little bit more profitable. A more significant reason is that. As you know, we haven't done any significant hiring in our software services and implementation division since September in 2012. And that was all very planned. And so we're able to utilize the 400-plus people that we hired from 2009 through middle of 2012 to do these 67 physician application installs that we're doing in the second quarter. And so not only do we have them, but they also have at least several years of experience. But -- so therefore, our salary costs have peaked in that regard. And so, as you know, we continue to sell those add-on software businesses that improves the margin there. And one last factor that I won't quantify, but I do know from looking at the statements, and it was immaterial, but it was still a bit of a help to the quarter. Last year in the first quarter, we had a significant number of implementations on the West Coast, and so our travel was particularly high and we did not have that in this quarter this year.
Chris Abbott - Leerink Swann LLC, Research Division: Okay, that's helpful. Would the -- maybe one more with the ICD-10 delay, you're mentioning that there could be, I guess, maybe some delays on some service engagements in 2014. Are there any potential acceleration of purchases, either for sort of core systems or financial systems that you might see this year now that is kind of potentially freed up that constraint or is it really more of a net sort of headwind in 2014?
David A. Dye: I think, if anything, it's a very minimal net headwind. I don't know if Boyd might have some comments. But I never heard about anybody in our segment of the market that was delaying any type of software purchases because of ICD-10. I know that some of the larger vendors that mentioned that, but that's not something that I have seen.
Operator: Our next question comes from the line of Bret Jones with Oppenheimer.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: I just wanted to touch on guidance. I know you don't generally don't update guidance. But EPS was quite a bit lower than we were expecting. I'm just wondering was there anything from a cost perspective in the first quarter that differed from what you were expecting when you provided the guidance?
David A. Dye: No, as I mentioned in the call, these significantly higher G&A expenses that we had in the first quarter have become very consistent. So we certainly expected them.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay. So you would update guidance if anything had materially changed, if you didn't think you could make the full year?
David A. Dye: Our policy is to give the guidance at the beginning of the year. And if we ever think there's a material upside or downside, we will update it at that time. So we will stick with that.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: I just wanted to ask also in terms of TruBridge and the margin, I wanted to go back to that a little bit. In terms of the mix of labor you're hiring, nurse practitioners, physician assistants, has the mix of labor changed from what you typically used to do? And is that more of a permanent impact on margin or do you still think you can get those margins back up into that 40%-ish range?
David A. Dye: It is definitely a shift in -- we've had those personnel on staff for quite some time, but the increase is definitely a newer trend. And we try and hire in advance as much as possible, so that we can have our good people up to speed down the road. And so which is why, in our history, we've never had to have, I think Ryan mentioned this in his question, we've never had to utilize a third-party consulting firm to help with implementations and, hopefully, we never well. I mean, we want to use our full-time employees to do all this work for our customers. And so part of it is too simply we hire people in advance of expected demand and that's what we're doing here.
Bret D. Jones - Oppenheimer & Co. Inc., Research Division: Okay. And then just lastly for me, I just wanted to touch on the 67 physician apps that you guys are going to install in the second quarter. Can you give us any sense for the mix of those? Was it weighted more towards CPOE or Physician Documentation? And are you starting to see the emergency department installs?
J. Boyd Douglas: It is -- I certainly weighted more toward the Physician Documentation. And as far as the ED, like I said, we're doing some -- very shortly doing some alpha and beta testing, so we will be doing some installs with those facilities. But like I said, we expect general availability in the third quarter.
Operator: Our next question comes from the line of Sandy Draper with SunTrust.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: Just a couple of questions. I guess, first for David, relative to the other comment -- one of the comments you made in terms of guidance, I think, was that you thought, overall, that by the end of the year, gross margin would actually be higher in '14 than '13. Obviously, system sales that came in strong. But I'm just wondering, do you think the investments you're making in the outsourcing side, which certainly, I appreciate in terms of the long-term growth, could actually maybe make -- suggest that, at the end of the year, your gross margins will be down year-over-year in aggregate?
David A. Dye: At this point, I don't think so. I'll stick with what we said a quarter ago. I don't think they'll be that consistent. And yes, it remains to be seen. And we're certainly -- as we've said before, and I know you alluded to this in your question, but there's no decision-making that will take any of that into account. But at this point, I think that, especially with all the maintenance and support that comes in as a result of all that software sales from 2013 and what we're doing in '14, and all these physician applications and so forth from an overall company gross margin perspective, I think it would more than overcome the TruBridge expansion.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: Okay, great. That's helpful. And then the second, you gave us some good details and I just want to make sure I got it correct. So the -- would you -- is it fair to say, netting out any other increases, we should basically -- there was $1.8 million of expense in the first quarter that will not replicate itself because that doesn't include that shift from CapEx to operating expense. I'm just trying to make sure I'm thinking about the right step-down number.
David A. Dye: Yes, $1.8 million is the proper step-down number. It does not include the CapEx shift.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And the CapEx shift will basically, you will have a little bit of a drag through this year but assuming you continue to do that, it normalizes itself when you look out in '15, '16 and beyond that just becomes the new way you're doing, so there's not a comp issue?
David A. Dye: There's not a comp issue. As well, we won't have that depreciation expense. So yes, it'll even out over the long term. Yes.
Alexander Y. Draper - SunTrust Robinson Humphrey, Inc., Research Division: Right. So this year, you're getting a little bit of a double whammy. You still got the depreciation from how you recognize the staff last year, but you have -- you got hit of the expense this year so you're sort of taking a double hit, but then it normalize itself.
David A. Dye: Yes, we are. But we're getting the benefit on the cash side.
Operator: Our next question comes from the line of Richard Close with Avondale Partners.
Richard C. Close - Avondale Partners, LLC, Research Division: Just really quick. I want to clarify. How many new hospitals or new customers did you expect this year? Was it 28, was that the number?
David A. Dye: Yes, right.
Richard C. Close - Avondale Partners, LLC, Research Division: Okay. And just curious what you're seeing in terms of the competitive marketplace. I know we touched earlier maybe some of the larger guys coming in and I guess you're saying you haven't necessarily seen that as much as maybe or at least with Cerner as before. But are you seeing any renewed competition from the likes of people like MEDHOST or any of the other smaller providers?
J. Boyd Douglas: I don't know that I know what you mean by renewed, but certainly those guys are out there and we're competing with them every day, the traditional. And we talked about that MEDHOST health plan, MEDITECH certainly.
Richard C. Close - Avondale Partners, LLC, Research Division: Are you guys, in terms of head-to-head competition, are you picking off any particular customers or competitor's clients? Or are you seeing yourself getting more successful?
J. Boyd Douglas: I don't know that we're any more successful. But certainly, those trends continue and we're doing quite well. We're really pleased with where we are in the market. I think our Meaningful Use success is responsible for a lot of that. And as I said in my prepared comments, we fully expect our Meaningful Use Stage 2 success to maybe help us pick off even a few more. We're really excited about where we are competitively.
David A. Dye: And I'll add to that just slightly saying with the Stage 2. I think that our sales team is seeing more, even over the last quarter or 2 more skittishness on behalf of some hospitals that have a competitive system installed. But there's been -- they're either part way or no way toward to Stage 2 certification at this point. And given the timing of sort of looming deadlines, there's some -- we're pleased to see that -- there appears to be some folks that are a little bit more nervous at this point, which that could only help us. It remains to be seen that can help us down the road.
Richard C. Close - Avondale Partners, LLC, Research Division: My final question is on TruBridge. Are there any other areas that you see that you can expand into on the TruBridge side in terms of additional service areas that you guys are contemplating or maybe making investments in today to roll out over the next year or 2?
David A. Dye: There are -- there's always things within TruBridge that we're thinking about and there are a couple of it could be relatively significant going forward that we are investing some time and resources into at this point, remains to be seen, if we follow through. I don't -- maybe in subsequent calls, but it's nothing that we would care to publicize at this point. But there's a great deal of thought going into what else can we do here to help the small hospital marketplace from a services standpoint and generate some revenue for us.
Operator: Our next question comes from the line of Dave Francis with RBC Capital Markets.
David K. Francis - RBC Capital Markets, LLC, Research Division: Just a couple of quickies. First, Boyd, on the emergency department product. I guess, I'm a little confused on the timing and I just may have heard this incorrectly on the previous call. But you're expecting general availability in the third quarter from what I understand. Is that just relative to kind of timing and how that revenue might hit the income statement in the back half of the year? Are you expecting that as kind of a front end of the quarter, a back end of the quarter, or where in Q3 do you expect to go GA and be in a position to start driving meaningful revenues through that line item?
J. Boyd Douglas: More through the back end of the quarter.
David K. Francis - RBC Capital Markets, LLC, Research Division: Of the third quarter?
J. Boyd Douglas: Right.
David K. Francis - RBC Capital Markets, LLC, Research Division: And then, secondly, you guys have done a great job of managing headcount and given the growth on the TruBridge side, I guess I'm wondering, are you having success in moving people from one side of the business over to the other? Are you simply having to go through attrition on the traditional system side of the business and net new hires on the TruBridge side, how is that working?
David A. Dye: It's actually both. We do, we have and we continue to move people over, which, as you can imagine is, from an experience standpoint, is we think a good move on our part, and it's worked out very well for us in the past. And we think it will continue to -- but there's -- a lot of this is traditional hiring as well. So it's a combination of both. We expect the overall employee number still to remain around 1,400. It may creep sometimes above and sometimes a little below it. But at least for us this year. I mean, we are doing some attrition replacement hiring in software and we expect to continue to grow the total employee count within TruBridge. So our guess is that it'll -- I think we're just below it right now and we should stay there or anywhere around 1,400 sort of back and forth for a while.
Operator: [Operator Instructions] Our next question comes from the line of Sean Wieland with Piper Jaffray.
Sean W. Wieland - Piper Jaffray Companies, Research Division: So a follow-up to Dave's question. Why did the timing of the release of the ED products slip?
J. Boyd Douglas: Just development happens in the development process. I don't know that there was a major slip. But certainly, just development usability studies would come back, come with more things to do. Just getting it out there. One particular reason, other than we certainly want to make sure it's right and ready to use and good to go when we put it out there in the field.
Sean W. Wieland - Piper Jaffray Companies, Research Division: Did you find that it was scope expansion, that it didn't have the necessary functionality that it needed, was it a technology issue, was it some issues with some of the alpha testing?
J. Boyd Douglas: It's more on the application side. Different functionality, different ways to do things. Sometimes the functionality's there, but you get alpha testing site or user that like -- at least it's not a little different, so sometimes you give them options in different ways to do things. Certainly, nothing on the technology side, we are using all the same technology.
Sean W. Wieland - Piper Jaffray Companies, Research Division: All right. So you've reiterated your guidance despite now losing about 6 month's worth of selling and revenue recognition opportunity on that product. What's the magnitude of that?
David A. Dye: It's relatively insignificant, Sean, we never expected major revenue from ED in the first half of this year. And certainly, we're not shying away from the fact that that's been pushed back a bit. I think that we have learned over the last several decades that one of the biggest mistakes you can make is to put stuff out there for general release too soon. And if we don't have some revenue in a given quarter because we pushed something back to make sure that it works properly when it's in the field, we can care less. I think that's even more important when you're dealing with a product that's used primarily by physicians, you pretty much only got one chance to get it right. So we're going to get it right.
Operator: Our next question comes from the line of Nicholas Jansen with Raymond James.
Nicholas Jansen - Raymond James & Associates, Inc., Research Division: Just focusing a little bit on cash flow. You're $18.5 million of cash on the balance sheet, I would anticipate kind of free cash flow to continue to build this year as you're financing receivables come down. So any change in philosophy with regards to how you're going to deploy that? Or how should we think about you guys opportunities to put that cash to work?
David A. Dye: Yes, great question. No change at this time. Our Board has evaluated what to do with excess cash in the past. And if and when that continues to grow, I'm sure we will again. As you know, our primary policy in the past has been to reward the shareholders with that cash generation through the dividend. I think that will always continue to be a part of our strategy, at least in the short to mid-term future. The short answer to your question is, so the Board will continue to evaluate it but I don't. And probably throughout 2014, can't expect any sort of change in our philosophy there.
Nicholas Jansen - Raymond James & Associates, Inc., Research Division: Okay. And just a follow-up to that. Your financing receivables have come down about $5 million from the peak. What's in the expectation there over the next couple of quarters or how should we think about that balance coming down near and long-term?
David A. Dye: Creeping down near term, and I don't honestly know the answer long-term. I don't think we'll ever see it get back to that number again. I think that with Stage 2, Stage 3 Meaningful Use, that will be more of the standard contract terms. I think that with new system sales, I think it'll -- this is a long-term guess that it would be, probably half-and-half sort of gen 2 contracts. Well, let's say half gen 2, and out of the other half, about half standard and half SAAS, then that's just a guess. So I think that's my best guess to answer your question.
Operator: Mr. Douglas, there are no further questions at this time. Please continue with your presentation or closing remarks.
J. Boyd Douglas: Right. We certainly appreciate everyone's time and interest in CPSI. And I thank you for being on the call and have a great weekend.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation, and ask that you please disconnect your lines. Have a great day, everyone.